Michael O’Leary: Good morning, ladies and gentlemen. You're very welcome to the Ryanair Q1 Results Conference Presentation. My name is Michael O’Leary, I'm the Group CEO and I’m joined today by Neil Sorahan our CFO. We'll run straight into the slide presentation. As you've all seen, the model of Ryanair remains all deemed. We had a lowest fare/lower cost carrier. We are number one for traffic of 152 million passengers for the full year, this year up 6% -- 7% on last year. We expect to maintain that goal particularly this winter. We expect other EU airline failures and sales to accelerate Malta Air in the quarter has joined the Group and the fundamental proposition of Ryanair is that the lowest cost wins. We’re spreading our offering across the continent. We have 86 bases, 235 airports, over 2,100 routes. And in FY '20, we have new bases in Marseille, Bordeaux and Toulouse in France; in Southend, UK; in Berlin; Tegel in Germany and new country markets in the Ukraine, Turkey and Lebanon. We remain on track to deliver our promise of 200 million passengers annually by FY '24. In last year, our air fares continued to fall. It’s one of the reasons why our profits are down this morning. This is one of the good reasons for a decline in profit. Our customers are getting better value than ever before. Our fares in the last year have fallen 6%, but we beat every other airline in Europe on cost and by a considerable distance. And the gap between us and our competitors is getting wider. On labor, we’re slightly ahead of Wizz. They have lower cost, Central European contracts, but we're significantly cheaper and operationally more efficient than easyJet, Norwegian. We’ve significantly lower cost in terms of airport and handling cost because of our larger aircrafts are 25 million turnaround, and in particular, the aircraft ownership and maintenance, we are stunningly below, comp below, the unit cost of all of our competitors. We believe we can continue to maintain that low cost advantage. That what underpins our ability to offer lower fares and that in turn what allows Ryanair to continue to grow. Neil?
Neil Sorahan: In the quarter, we saw our traffic grow by 11% to 42 million guests. Revenue per passenger was flat to €55 at a 6% reduction in average fare due to overcapacity in Europe, and price simulation in the UK was offset by a very strong performance, and ancillaries which were 14% per guests. Unit costs, ex-fuel, were 4% and are fueled have increased by a €150 million. So, as a result, profit after tax was down 21%, a €243 million in the quarter. Just for to brief in current development. So, we have lower fares, higher fuel costs. We continue to -- are affecting our earnings, but they’re also affecting the earnings of all of our competitors. We believe that will drive more airline failures and sales in second half of the year. Short-term price weakness yes, but Ryanair remains the structural winner. The MAX -200, those deliveries have been delayed onto at least Q4 this year. We now expect to take the first deliveries of our MAX-200 probably in January or February of 2020, and that depends on the aircraft going back flying or being the existing MAX's paying return to service sometime in September, early October. That does mean that we won't be able to take the original 58 aircrafts that we have planned for summer 2020. We think it's best the moments to plan for 30 additional aircrafts for summer 2020 and that means slower growth next summer and into FY '21. The Group structure continues to evolve. We now have four substantial group airlines Buzz in Poland, Lauda base in Vienna, Malta Air which joined the Group in the quarter based in Valletta and Ryanair DAC which was the old Ryanair. For the moment, we've left Ryanair UK off that because we won't need it unless this is a hard Brexit. We are Europe’s cleanest, greenest airline. This year, we expect to pay over 600 million in environmental taxes, which I think explodes the myth that the airlines having a free run or some kind of a free ride when it comes to environment. We’re not. We're paying very heavy environmental taxes, despite the fact that we are investing massively to continue to reduce our environmental footprint. We have also launched the 700 million share buyback in May, a 100 million has been returned to shareholders in buyback period in the first quarter. Our guidance I think is the good news today remains unchanged. So our profit after tax for the full year is still in reasonably wide range of 750 million to 950 million, as profit after tax. And the reason for this range, we have sold visibility on air fair in the second half of the year. Malta Air, a new Maltese airline, Maltese AOC, we will put our fixed based aircraft into Valletta into Malta Air this winter. We will also transfer most of the aircrafts that we have based in France, Italy and Germany on to the Maltese AOC. We started that process in May and it continues on a weekly and monthly basis. The advantage of that is now means to our cruse in Germany, Italy and in France compare our income taxes in Germany, initially in France, which is a key part of the agreement we reached with unions in those countries to move to local contract and local taxation, moving them away from historically paid Irish income tax because they were on an Irish AOC. The management team which is building rapidly is based in Malta and the Malta AOC also facilitates, also opening up new routes into North Africa and in Middle East from Malta which wouldn’t be available to us as an Irish-registered airline. Just touch briefly on the MAX update. There is still considerable uncertainty there. We have 210 aircrafts on order. We expect to get five in advance of this summer, they've been delayed. We plan to have 58 in place for summer 2020. We now think that to be about 30 aircrafts. We are actively working through plans at the moment to reduce aircraft on certain bases, close other bases this winter from November, because if we don’t have these new aircrafts coming in next summer, there is no point in flying them during the winter as well. There will be still some new bases and some new routes for summer 2020, but we will have to ready the schedule to accommodate this slower rated growth. What it means for shareholders is that instead of going to 162 million passengers in FY '21, we will grow about half that we can grow to about 157 million passengers. We continue our dialog with Boeing. The pre-delivery payments have been frozen. We expect Boeing to cover these losses and you'll see Boeing making provisions to that in their all accounts. Credibly, however, we remain committed to the game changer aircraft. These are aircrafts that offer us 4% more seats and comparing, they have 16% lower fuel per seat. These are not just operationally efficient, they are environmentally efficient as well, and they facilitate Ryanair's growth to 200 million guests by FY '24. Just in touch our environmental commitment. We're the first airline to publish monthly CO2 emissions in 2019. We are already the lowest. We are the lowest emissions of any major EU airline. We are determined to cut that by a further 10% by 2030 over the next decade. We paid over 540 million environmental taxes in 2018 and that will rise over 600 million in 2019. We've committed our sales to being plastic free within five years. We are also the first airline to have a volunteer carbon offset program as part of the booking process. And all of the funds that are raised for that offset program about 2% of our past year issues will commit to it, which is being allocated to work with climate partners here in Ireland, in Portland and in Africa. And critically, the 210 new Boeing MAX aircraft will allow us to carry more passengers, but have much lower fuel consumption and with a 40% reduction in noise emulsion Here’s just the demonstration of the environmental taxes we paid last year and what we expect to pay this year. I would draw your attentions of fact that it runs at around 10% -- it’s a tax of about 10% per ticket, which is an incredibly higher rate of tax for the environment. Guidance?
Michael O’Leary: Just on the guidance, we’re guiding around our passengers and our results 7% between 152 million to 153 million in the current year, whereas we believe, we’ll be at the lower end of minus 2% to plus 1% range for the year until we’re going to still continue to perform well, which why we’re guiding revenue per passenger in a range plus 2% to plus 3% on a full year basis. Unit cost ex-fuel for Spice, we continue to lead even MAX, we'll just up 2%. We've just unchanged on our previous guidance. Fuel, we believe will be up about €450 million on a full year basis, and as a result as Michael already said, profit after tax will be in a range of €750 million to €950 million for the full year. This of course depends on close in peak summer bookings over which we still haven't got full visibility. H2 first and, of course what happens in the relation to Brexit in October.
Neil Sorahan: Well done, Thanks Michael.
Michael O’Leary: Thank you. With that, we’ll now go to the Q&A
Q - Unidentified Analyst: Revenue per passenger was flat on €55, hedged fares and ancillaries performed?
Michael O’Leary: Yes, we saw a 6% reduction in fares in quarter. We stimulated 11% increase in traffic to just over 42 million customers. And this however was offset by very strong performance in ancillary revenue of 14% on a passenger basis on just under 0.8 billion in total revenues in the quarter, stimulated by the likes of our reserve seating and priority boarding, which continuous to perform very well.
Unidentified Analyst: What is your eye for compares for the remainder of the year?
Michael O’Leary: Well, you can see underlying airfare, the first half of the year, we're down 6%. We have zero visibility on airfares into second half of the year, but we expect them to come in towards the lower end of our minus 2 to plus 1% range. And most of our price offers is due to softer consumer sentiment in the UK and excess capacity particularly with Lufthansa and Eurowings in the German market, leading to very low pricing in the German and Australian markets.
Unidentified Analyst: Where the strong performance in the ancillary revenues continued?
Michael O’Leary: I think so. As I had said, we had a very strong performance in Q1. We expected like of priority boarding continue to perform well particularly over the remainder of the first half of the year. We continue to expect the likes of Labs to contribute strongly to customer choice and performance. So as a result, as we roll t more personalization, we’re guiding revenue capacity here in a range of plus 2 to plus 3% on a full year basis, which is all down to the strong ancillary.
Unidentified Analyst: Ex-fuel cost rose 4% in Q1 FY '20, why?
Michael O’Leary: Principally, it was a consolidation allowed the cost in Q1 this year. They weren't consolidated in the Q -- in the comparable Q1 prior quarter, and we’ve also had an increase, significant increase in staff cost. The 20% pay increase that we negotiated at the start of the 2018 and also ramping up pilot and cabin crew recruitment in advance of the peak summer schedule this year. We’ve also had a number of one-off expensive costs returning to nine expensive operating lease aircraft to Lufthansa from Laudamotion, the last of which were pre-delivered at the end of June.
Unidentified Analyst: Is there any change to your full year ex-fuel unit cost guidance from plus 2%?
Michael O’Leary: No, we’re sticking with the 2% despite continued delays in the MAX delivery, so just over 2% on a full year basis.
Unidentified Analyst: Any update on your fuel hedging?
Michael O’Leary: Yes, we’re now 37% hedged into FY '21 of about $53 per barrel. We continue to look for opportunities to add to that at rates of under $60 a barrel. I believe we are consistently in line with our rolling program to be typically 90% hedge on 12 months basis.
Unidentified Analyst: How is on-time performance?
Michael O’Leary: Significantly improved year-on-year, we’ve invested heavily over last year in spare parts, in more engineering and quickly changing our contractors we're handling in Stansted in Poland and over in Spain. As a result, we’ve seen a 7 percentage point improvement in one-time performance in the past six months and we believe the 10 percentage point improvement in the quarter. Cancelations are well down year-on-year where we had just 20 cancelations in June for example as opposed to nearly 1,200 in the prior year comparable. That said, we continue to still see ATC disruptions over the weekend, having a negative impact on punctuality for all our airlines. And we continue to work very well and Wizz Airlines for Europe to try and encourage the air traffic controllers to staff up their numbers and to address over flight issues, so over 90% on time performance excluding ATC in the quarters.
Unidentified Analyst: What's the latest update on the MAX?
Neil Sorahan: Deliveries are delayed. We don’t expect the MAX to return to service until September, October at the earliest this year. That means we’re now expecting the first of our game changer aircraft probably in January, February of 2020. That means we've now -- we really take delivery about 30 aircraft for the summer, peak summer 20. You've schedule instead of 58. That could move. It could be slightly higher. It could be slightly lower depending on when the MAX is approved by the regulators to return on service. So, for purpose of our plan at the moment that means we will slow down our growth rate in summer 2020. We'll deliver at a 157 million passengers in FY 21 as opposed to previously 162 in passengers.
Unidentified Analyst: Have you started question at your airports and people.
Michael O’Leary: We have and but I think at this stage, it'd be wrong for me to comment on any detail of estimates as the negotiation is confidential.
Unidentified Analyst: Are you talking to Boeing?
Michael O’Leary: We are. I mean, we're in daily contact with not just Boeing, but also with the ASA to try to assist the process of getting the MAX aircraft which are the early returned to service to the MAX aircraft.
Unidentified Analyst: Is there any change to your FY '24 target of 200 million guests per annum?
Neil Sorahan: No, we're still targeting 200 million by March 2024. As Michael said earlier on, growth will increase by about 3% next year to 157 million which is slightly slower than we had anticipated; however, we believe we will catch that off in future years.
Unidentified Analyst: What does it means for your cost cutting initiatives?
Michael O’Leary: I mean it means we don’t get the cost reductions, unit cost reductions that we had hoped that the MAX aircraft would deliver in the second half of the year, but we're still finding other areas where we're pairing and saving some costs which why we're holding to our 2% cost, unit cost increase for the full year. Some of that was particularly continues upon getting the MAX aircraft. They now won't arrive, but we're making up cost savings as well.
Unidentified Analyst: What is the impact of the new IFRS-16 lease accounting standard on the balance sheet of Q1?
Neil Sorahan: For us, it is relatively immaterial, only 6% of our leases fees. So like most other airlines, it's another huge impact. The at P&L impact was totally immaterial in the quarter. At quarter end; however on the balance sheet, we had about another 220 million of debts. And this will increase about 330 million by year end due to more leases coming into the fleet, over the next number of month. That said, in a quarter where we had buy backs in the impact of IFRS-16, we actually saw a net debt marginally down, just for 19 million in a row.
Unidentified Analyst: How is the buyback progressing?
Michael O’Leary: Well, we completed by about €100 million in the quarter. That means we still €600 million to go. We expect to run that program out to the end of the calendar year, and obviously, it will be critical in the run up to any higher Brexit, if a higher Brexit is the outcome of the Brexit discussions at the end of October.
Unidentified Analyst: Can you update on Malta Air?
Michael O’Leary: Yes, Malta became the fourth main operational airline in the group back in June. It's got multi-AOC. We recently appointed a new management team based in the Valletta. This will operate the six based multi-aircraft. They'll transition the AOC this winter and we will grow it up to a 10 aircrafts over the next three years. Importantly, it'll also operate our French, German and Italian bases, which enables our crew to pay their taxes locally in those markets, which is an important point for the individual pilots, cabins crew, and the unions. We're also excited of the opportunities that will guest to open up new markets, in the life in the Middle East, North Africa and of course join Malta as such rest of the network.
Unidentified Analyst: How Lauda and Buzz developing?
Michael O’Leary: Lauda is going strongly. This summer, it'll operate a fleet of 20 operating lease A320s, actually at a lower cash cost and the nine aircraft that we're reducing from Lufthansa this time last year. It's good. Traffic is going strongly. We expect to carry more than 4 million passengers in the next year, and the losses will be significantly reduced from the figure of just under 140 million last year, but we’re still continuing to term that around. Buzz is operating profitably in the second year of operation. This summer it's operating seven aircrafts in the charter market in Poland and trading well. Many, operating 17 is Ryanair's, all of Ryanair's based, Polished-based aircraft are now being operated by Buzz. And we'll see some of those aircrafts and the uniforms rebranded as Buzz later on this year.
Unidentified Analyst: How do you see European short-haul developing this winter?
Michael O’Leary: I think we're going to see more airline failures and consolidation over the next number of months. The current high fuel environments, particularly if anyone hedged carriers, this is going to cause significant problem. The airlines start to get over peak cash flow when we move into winter. And again, they’re going to see the cash for June. They're going to see the credit card companies holding back more and more cash to the carriers. So, I think where we’re moving to more towards more failures, more consolidations. We already have couple of airlines up for sale, the likes of Thomas Cook. Alitalia will get resolved fairly soon as well. So I think there’ll be a lot of opportunities to grow over the next month and years for the Ryanair Group Airlines.
Unidentified Analyst: How is Ryanair the environmental performance?
Michael O’Leary: As you see, we're leading with the greenest, cleanest airline in Europe. We're the first airline to publish our monthly CO2 emissions. We have the lowest CO2 emission of any major European airline. And we’re also publishing, -- we've published the environmental tax that we were paid last year and again this year. And our investment in the MAX aircraft program was a significantly reduced, both our fuel consumption and our noise emission over the next decade.
Unidentified Analyst: What are your thoughts on the recent aviation tax proposals in Europe?
Neil Sorahan: As Michael said, we’ve already published the high level taxes that we paid towards environmental issues every year. We paid over €540 million last year. We’re going to see that increase to €630 million in the current year, which to put out in context before euro out of every ticket per passenger out there. So, with an average fare of €36, we’re paying over €4 per passenger. So, I think this coupled with the investments that we’re making in new aircraft and the cargo footprint that we have, which is reducing significantly over the last decade and over the next decade, it addresses these issues.
Unidentified Analyst: Is there any update on board succession?
Michael O’Leary: Yes, the market will be already aware that David Bonderman and Kyran McLaughlin will lead the Company until 31st of March, maybe this fiscal year. They will set down from the Board in the summer of 2020. Stan McCarthy who is now our Deputy Chairman will succeed David as Chairman in the summer of 2020. And this morning, the Board is pleased to announce that Louise Phelan, who has served the Board now for over six years, senior of an ex-former senior PayPal executive, will take on the role of Senior Independent Director from Kyran McLaughlin when he steps down in the summer of 2020. So, we will have entirely refreshed the Board and with the departure of David and Kyran, the two long serving Non-Executive Directors will also have left the Board.
Unidentified Analyst: Is there any change to your FY '20 guidance?
Michael O’Leary: No, we’re still growing profit broadly, flat in a range of €750 million to €950 million, as always a number of moving parts in there. Traffic will be up about 7% still just over last €352 million and €150 million guests this year. Average fare, we think will be down about 6% in the first half to the year. On an annualize basis, it will be at the lower end of minus 2% to plus 1% fare range. Ancillaries, however, will continue to perform strongly, which is why we're saying revenue per passenger should be in the range of plus 2% to plus 3%. Our fuel bill will be up about €450 million in the year. And our unit cost ex-fuel will be up just 2% despite the delays in the MAX delivery. So depending on closing bookings and H2 bookings and obviously, no adverse Brexit events, we're remaining within that range of €750 million to €950 million.
Unidentified Analyst: Michael and Neil, Thank you very much.
Michael O’Leary: Thanks.
Neil Sorahan: Thank you very much.